Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Ebix Q1 2022 Financial Results Investor Call. At this time all participants are in a listen-only mode. [Operator Instructions]. I would now like to turn the conference over to Darren Joseph, Corporate Vice President. Please go ahead, sir.
Darren Joseph: Thank you. Welcome, everyone, to Ebix, Incorporated 2022 first quarter earnings conference call. Joining me to discuss the quarter is Ebix Chairman, President and CEO, Robin Raina; President, Insurance Services, North America, Ash Sawhney; and Ebix EVP and CFO, Steve Hamil. Following our remarks, we will open up the call for your questions. Now let me quickly cover the safe harbor. Some of the statements that we make today are forward-looking, including, among others, statements regarding Ebix' future investments, our long-term growth and innovation, the expected performance of our businesses and our use of cash. These statements involve a number of risks and uncertainties that might cause actual results to differ materially from those projected in the forward-looking statement.  Please note that these forward-looking statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements made today are contained in our SEC filings, which list a more detailed description of the risk factors that may affect our results. Our press release announcing the Q1 2022 results was issued this morning. The audio of this investor call is also being webcast live on the web at www.ebix.com/webcast. You can look at Ebix' financials beyond what has been provided in the release on our website, www.ebix.com. The audio and the text transcript of this call will be available on the Investor homepage of the Ebix website after 4 p.m. Eastern Time today. Let me now discuss the key metrics in our Q1 '22 results released earlier today. Q1 2022 diluted EPS GAAP grew 24% sequentially from $0.50 to $0.62, and non-GAAP diluted EPS grew 15% sequentially from $0.66 to $0.76. Q1 2022 GAAP revenues grew 7% sequentially from $267 million to $286.3 million. Our worldwide revenues, including prepaid gift card revenues, increased 11.5% year-over-year in the first quarter of 2022. Q1 2022 GAAP operating income declined sequentially by 7% from $32.4 million to $31.2 million.  Our most negatively impacted business from COVID-19 within EbixCash limited experienced solid year-over-year growth in the first quarter of 2022. In total, our travel, foreign exchange, remittance, e-learning and financial technology businesses combined grew revenues by 28% year-over-year during the first quarter of 2022. Year-over-year growth in travel and foreign exchange revenues was 85% and 109%, respectively. Our e-learning business also benefit from the reopening of schools in India and contributed a 138% growth rate year-over-year during the first quarter of 2022. I will also note that our BPO revenues in India increased close to 70% year-over-year during Q1 2022. Our U.S. revenues grew 2% year-over-year, with 21% cumulative growth in our life speed and annuity exchange businesses. Our insurance exchange revenues grew 2.3% year-over-year. Our risk compliance solutions, RCS, revenues grew 8.3% year-over-year due mainly to a 27% year-over-year growth in Latin America and 68% growth in our BPO business unit in India. Year-over-year GAAP revenue in Q1 2022 decreased 1% to $286 million from $290 million in Q1 2021. However, on a constant currency basis, year-over-year revenue in Q1 '22 increased 1% to $294 million from $290 million in Q1 2021, reflecting the strengthening of the U.S. dollar after the Ukraine conflict, which has the impact of hurting our worldwide GAAP revenues. Exchanges, including the EbixCash and our worldwide insurance exchanges, continue to be Ebix' largest channel, accounting for 94% of Q1 '22 revenues. Our B2C and B2B businesses in India were strongly impacted by the Omicron variant in the first few months of 2022. Considering that, we feel good about the Q1 2022 results both in terms of revenue and operating income. Our first quarter revenues and operating income are traditionally lower than the fourth quarter of the preceding year primarily because of our continuing medical education business having a seasonal increase in the fourth quarter. Q1 '22 was no different with CME revenues decreasing by approximately $2.7 million as compared to Q4 2021. In spite of that headwind and the effect of Omicron in Q1 2022 on many of our businesses, we still managed to grow overall revenues by 7% sequentially and 1% year-over-year on a constant currency basis in Q1 of 2022. We are pleased with that. I will now turn the call over to Steve.
Steven Hamil : Thanks, Darren. We have and continue to operate in unprecedented times. While the negative impact of COVID-19 on our businesses is beginning to abate, we still have a long way to go to get back to pre-COVID-19 levels in many of our traditionally strong business lines. At Ebix, we've had to deal with our share of pain with the Omicron variant having an impact on our operations, especially in the first two-months of 2022. But the results that we have produced in the first quarter provide positive evidence that Ebix is beginning to see the long expected rebound from the COVID-19 global pandemic. Our worldwide revenues, excluding the prepaid gift card revenues, increased 11.5% year-over-year in the first quarter of 2022. Our total GAAP revenues declined by 1.3% year-over-year, which was driven by a 6.7% year-over-year decline in prepaid gift card revenues during the first quarter. In spite of Omicron and the year-over-year decline in gift card sales, our top line in Q1 2022 grew sequentially by 7%, and on a constant currency basis, increased year-over-year by 1.3%. Our Latin American business was heavily impacted by COVID-19. But as we have mentioned in the past, the demand funnel would loosen up as businesses begin to operate more normally. We are beginning to see that effect in Latin America, with revenue increasing year-over-year in Q1 2022 by 27%. In the U.S., our annuity and life speed exchange businesses cumulatively increased over 21% year-over-year as industry transaction levels increased and we continue to grow revenues from our existing client base. Our life illustration solution increased revenues year-over-year by 8%. Our life underwriting revenues decreased year-over-year by 9% as we continue to feel the impacts of a tight labor market and less hiring during the peak of COVID-19.  The life underwriting solution generates substantial revenues from upgrades, enhancements and implementations and changes, which require on-site and remote human IT resources to carry out. We believe that this business area will improve over the next few quarters as more resources have been hired, are being trained and will become operational. Our continuing medical education business in the U.S. increased 18% year-over-year as we deferred some traditional Q4 revenues in Q1 2022. Our European business, whose technology powers the front end of the London reinsurance and insurance markets, continues to perform steadily after our record 2021, with Q1 2022 revenues increasing 3% year-over-year. Our company's diversity of revenues, both by geography and solutions and services, our customer stickiness and the recurring and repeating nature of a large percentage of our revenue base is the foundation that allows Ebix to endure seasonality or a pandemic crisis like COVID-19. I'll now discuss some key operating metrics for the first quarter. Our gross margin in Q1 2022 was 26.3% versus 24% in Q1 '21 and 30.3% in Q4 2021. Excluding the payment solutions business in India, the company's gross margins for Q1 2022 of 78.5% compared to Q4 '21 and Q1 '21 gross margins of 77% and 80%, respectively. In addition to the continuing effects of COVID-19 on our business, Ebix had a year-over-year increase in G&A expenses of $5.6 million in Q1 2022 driven by increased personnel costs of approximately $3.1 million and a decrease in bad debt recovery of approximately $1.7 million year-over-year. Our operating margin was 10.5% in Q1 2022, a decline sequentially from 12.2% in Q4 '21 and a slight decline year-over-year from 10.8% in Q1 '21. The low-margin payment solutions revenues had the largest impact on the sequential comparison of operating margins. Excluding the payment solutions business in India, we generated 31.6% operating margins in the first quarter of 2022, an increase of 50 basis points as compared to 31.1% operating margins in Q4 2021. Ebix strives to maintain greater than 30% operating margins for our suite of solutions and services outside of the low-margin gift card business. During the first quarter of 2022, we had the following major cash uses: $11 million of cash interest paid; $15.4 million for income-related taxes paid globally; our combined $12 million expended on capital expenditures and software development costs; $8.4 million used to reduce the principal outstanding on our corporate credit facility; $3.7 million used to reduce the balances of our working capital facilities in India; and $2.3 million for dividend payments. We funded these initiatives from existing cash plus operating cash flows generated during the quarter. As of March 31, 2022, the company has solid liquidity on hand with cash, cash equivalents, short-term investments and restricted cash of $102.2 million versus $125.2 million at 12/31/2021. Q1 2022 required the company to make over $15 million of tax payments related to both our EbixCash businesses and other global businesses that will not be repeated in the next few quarters. In comparison, during 2021, Ebix paid approximately $18 million in total cash taxes, over half of which was paid during Q1 '21. Additionally, the company made nonrecurring payments related to the credit facilities of approximately $4 million in Q1 2022. We also had elevated capital expenditures during Q1 2022 as we have invested in the growth of our BPO business in India. Our total debt in March 31, 2022, was $648 million, a reduction of $55 million from total debt of $730 million as of March 31, 2021. After a difficult last two years as a result of COVID-19 and other external factors, we are seeing the beginning of a rebound from COVID-19. Businesses that were materially negatively impacted by COVID are beginning to grow again. While we still have plenty of runway to get back to pre-COVID-19 revenue levels, we are optimistic at the results we are currently seeing. We believe that the diversity of our revenues and the market positions that we have globally will be the catalyst that will allow Ebix to thrive in a post-COVID pandemic world. While we face challenges with the current global economic and geopolitical conditions, we believe that our company is positioned well to take advantage of more normal business rhythms as the world moves further on from the pandemic. I want to thank all of the thousands of employees around the world for all their hard work over the challenging past couple of years. Finally, our Form 10-Q will be filed later today. I'd like to now turn the call over to the President of our North American insurance businesses, Ash Sawhney, for his remarks on our first quarter 2022 operations.
Ash Sawhney : Thank you, Darren and Steve. I will now talk about the North American results and outlook. The North American revenue in Q1 2022 was up 2% compared to Q1 2021. This was a result of strong performance by the core business comprised of life, annuity, health, P&C exchanges and the core consulting group, which altogether were up 9% in Q1 2022 compared to Q1 2021. This was the highest growth performance by these groups in aggregate going back several years, even prior to the commencement of the COVID-19 impact.  Also contributing to the performance of Q1 was an 18% year-on-year growth in the medical certification business. Overall, the Q1 growth was despite continued headwinds in the underwriting exchange business, which was down 9% compared to Q1 '21 and 2% sequentially compared to Q4 of '21. Let me now give a more detailed narrative of performance of each of the major divisions. The annuity exchange was up 15% compared to Q1 2021 and 8% compared to Q4 2021. Transaction volumes were up 11% and 20%, respectively, during the same period. March of 2022 saw the highest volume of transactions ever on the platform. The increase was across all major carriers and distributors. The uptick we have seen over the past several quarters is a reflection of all the carriers and distributors we have added to the platform in the past two years. The life platform continued a record run with over 90% growth compared to Q1 2021. We added several carriers to the platform. JPMorgan is now officially live on the live platform with the initial set of carriers and with a plan to add several more in the second half of 2022. More to be announced during the course of the year. The illustration exchange revenue was up 8% in Q1 2022 compared to Q1 2021 and 5% compared to the previous quarter. We are continuing to see near-record revenues for this division. Noteworthy in Q1 was the addition of Brighthouse on the platform and the rollout of a user-friendly new adviser model called EbixLife, which is currently being deployed at JPMorgan.  CRM revenue was up 2% compared to Q1 '21 and 12% compared to Q4 2021. This is partly due to a cyclical uptick in data exchange revenue. Retail CRM revenue was up 2% compared to the same quarter last year. And revenue from core enterprise clients such as RBC, HSBC, TD Bank were up marginally by 1% compared to Q1 of 2021. We are in the midst of implementing an end-to-end platform, including CRM, policy administration and claims, for a large health carrier called Redirect Health. The health exchange were nominally down 2% compared to a strong Q1 in 2021, was up 4% sequentially. In Q4 '21 investor call, I mentioned that we're in the midst of contract negotiations with a large global brokerage firm. I am pleased to announce that we have now successfully executed the contracts with the super broker Aon. The Ebix enterprise platform will replace their legacy platform and help their employer clients by delivering flexible and customized employer-sponsored benefit solutions. This is one of the major larger deals won by the group in recent years. In Q1, we also expanded our relationship with AIG by setting up an additional platform for one of their divisions in addition to one they were already using. The P&C exchange was up 2% compared to Q1 2021. We signed the state of Vermont to serve as their workers' comp EDI exchange. The core consulting business was up 22% compared to Q1 '21 and down 11% sequentially compared to the high Q4 2021 quarter. Overall, this business is trending well and continues to benefit from the onboarding of new carriers and distributors to the life and annuity exchanges as we now package our services as part of the onboarding process. The medical certification business was up 18% compared to Q1 2021 and down 37% compared to Q4 '21. The uptick compared to the same quarter last year was largely due to revenue that was deferred in Q4 '21. The sequential drop from Q4 to Q1 is typical for this business as we do 35% to 40% of our revenue in the fourth quarter every year. Overall, our digital business was up 18%. We signed new contracts, including new contracts with Brigham and Women's and Cleveland Clinic. The North American risk and compliance services business was down 2% compared to Q4 of '21 and 1% compared to Q1 of '21. The core business, however, remains strong, and we added 6 new clients in this quarter. The underwriting exchange unit, which historically was the strongest performing during pre-COVID period, continue to face headwinds in Q1 of '22. The issues are related to staffing constraints. While several measures have been taken, which will ultimately put this division back on a progressive track, the path to normalization has been slower than what we expected. The core business with existing clients remains strong. We successfully implemented GenRe on the platform, delivering a customized and one-of-a-kind facultative underwriting exchange. Several enhancements were also delivered to clients like Cuna, IFBI, Manulife, Nationwide and Sun Life. On the operational front, we announced a major reorganization of our delivery and support organizations. Previously, we were operating and supporting our clients through a siloed operating structure, and we are now aligned in a very customer-centric manner. Core functions like client engagement services, product management, maintenance and support have now been centralized across all product groups.  This will enhance our customer engagements, will bring more efficiency to our delivery model and will also create an organization of delivery professionals that are cross-trained across multiple products. All in all, this fits well with our strategy of offering end-to-end digital solutions supported by an organization that can deliver solutions that are fully integrated. Overall, we are pleased with the performance in Q1. As we look forward to the rest of 2022, we remain positive on the outlook. Several factors contribute to this optimism. We expect continued growth in the annuity exchange with rising interest rates, annuity sales tend to rise, which has a direct impact on our transactional business. We also expect to onboard 3 to 4 additional carriers in the coming quarters.  The life exchange will continue its record run. Our 2022 road map includes adding over 50 additional carrier products on the platform before the end of the year. This will afford us opportunities we have never seen before and will make us a dominant exchange in the life insurance space. We are continuing to roll out new products and modules across various platforms. We believe these will provide incremental revenue opportunities. In Q1 2022, we created a new center of excellence, which will focus on new product opportunities in collaboration with clients and industry partners. Our pipeline in the core exchange business remains strong. We have also recently added several senior sales executives with deep and relevant industry experience. We are excited about their addition and the leverage we will derive from their network. We expect our health exchange to see a revenue uptick once we have fully on-boarded the Aon account. The project is already underway. We are in the midst of several meaningful industry partnerships. These partnerships have the ability to further enhance our offerings and provide meaningful incremental revenue opportunities. We will be formally announcing these during the course of the year. We are reviewing our pricing across all product lines and increasing our rate to tackle the inflationary pressures that we are experiencing ourselves. Due to the vast expand of our customer base and contracts, this rate increase will be an ongoing exercise for the remainder of 2022. I would like to thank all of the associates at Ebix that work hard to support our clients. We are truly blessed to have the brightest and most hard-working people in the industry. We are also thankful for the ongoing support and trust of all our clients, which includes hundreds of insurance carriers, thousands of distributors, over 70 of the top Fortune 500 companies and scores of top medical institutions. I will now turn the call over to Robin Raina for his comments.
Robin Raina : Good morning, everyone. Despite the effects of Omicron and COVID-19 on our businesses, especially in the first two-months of 2021, I'm pleased to be reporting another great quarter for Ebix on many fronts. Q1 2022 GAAP revenues of $286.3 million with 7% sequential growth over Q4 2021 revenues. I'm especially pleased with this since Q4 revenue of $266.8 million with a 39% sequential growth over Q3 2021 revenues. Secondly, constant currency revenues of $293.7 million implying an annual revenue run rate of approximately $1.17 billion. Our worldwide revenues, excluding prepaid gift card revenues, increased 11.5% year-over-year in the first quarter of 2022. Our diluted EPS of $0.62 in Q1 '22 was accompanied with 24% sequential growth over Q4 '21 diluted EPS. Non-GAAP diluted EPS of $0.76 in Q1 2022 had 15% sequential growth over Q4 '21 non-GAAP diluted EPS of $0.66. Excluding the payment solutions business in India, we generated 31.6% operating margin in the first quarter of 2022, an increase of 0.5% as compared to 31.1% in Q4 of '21, which, as Steve defined, is in line with our goal of more than 30% operating margins. Let me now discuss the revenue performance in a little bit more detail. Our worldwide insurance revenue grew 2.3% year-over-year. U.S. revenues grew 2% year-over-year. Our risk compliance revenues grew 8.3% year-over-year. Excluding the prepaid gift card revenues, EbixCash revenues increased year-over-year by 30.7%. Also what was encouraging about Q1 '22 results was the fact that our revenues grew year-over-year in 8 of the 11 geographies of our business on a constant currency basis. On a GAAP basis, our revenues grew year-over-year in 7 of the 11 geographies of our business despite the adverse effect of the U.S. dollar strengthening strongly after the Ukraine crisis. U.S. revenues had a year-over-year increase of 2%. Canada had a year-over-year increase of 2%. Brazil had a year-over-year increase of 27%. Europe had an increase of 2% year-over-year. Indonesia had a year-over-year increase of 85%. Philippines had a year-over-year increase of 55%, while UAE grew by a large percentage number also.  Despite a 7% decline year-over-year in the gift card business, our EbixCash revenues on a constant currency basis were higher than the Q1 2021 revenues. We are pleased with the India EbixCash results for Q1 2022 as our most negatively impacted business from COVID-19 within EbixCash Limited experienced solid year-over-year growth in the first quarter of 2022. In total, our travel, foreign exchange, remittance, e-learning and financial technology businesses combined grew revenues by 28% year-over-year during the first quarter of 2022. Year-over-year growth in travel and foreign exchange revenues were 85% and 109%, respectively. Our e-learning business also benefited from the reopening of schools in India and contributed 138% growth rate year-over-year during the first quarter of 2022. Our BPO business also grew 68% year-over-year. For me, key insurance business-related events stood out in the first quarter of 2022. One, we finally signed the contract with the world's largest broker, Aon, for the Ebix enterprise health implementation in North America. Two, we got to go ahead from a top super broker in the world to deploy our Ebix evolution P&C broker system product not just in many European countries, but for United States and Canada. We will announce more details about the name of that broker in coming days.  Three, we successfully showed how a successful implementation of pioneering technology can result in a network effect with annuity and life speed revenues combined growing 21% year-over-year, purely because of the network effect of large distributors and the carriers they bring on our exchanges. We made a number of key hires in recent times. One of them that reflects Ebix efforts to invest in the BSE Ebix insurance distribution venture is the hiring of a new CEO and Managing Director for our BSE Ebix venture. Sachin Seth joined Bse Ebix from Ernest & Young where, as a partner, he was instrumental in leading and setting up the fast-growing digital and Fintech practice for Ernst & Young's financial services division since 2016.  Prior to E&Y, Sachin spent more than a decade with IBM Consulting in a similar domain as Executive Director. I believe that Sachin brings to us a rich experience of more than 2 decades in areas, providing us with thought leadership in the digital financial services area, driving business transformation initiative and helping us build cutting-edge digital platform and driving Fintech and insurtech ecosystem in India and overseas markets. Let me talk through something that we continue to focus on as a company. We are focused on continuing to reduce our debt. Steve talked in detail about the debt reduction. So I'll just start at that, that, that remains a key focus of ours today. In Q1 2022, we cumulatively spent $52.8 million on interest payments, tax payments, term loan payments, income taxes, dividends, CapEx payments and reduction of working capital facilities, et cetera. And still, our cash, cash equivalents, short-term investments and restricted cash were $102.2 million as of March 31, 2022, versus $125.2 million as of December 31, 2021. We are pleased with that as it speaks to the fundamental resilience of our businesses. We conveyed earlier that the company's Indian subsidiary, EbixCash Limited, has filed a draft red herring prospectus DRHP with the Securities and Exchange Board of India for an initial public offering, aggregating up to INR 60,000 million in an IPO. Of the IPO proceeds, approximately $350 million is proposed to be utilized towards purchasing of outstanding compulsory convertible debentures from Ebix Asia Holdings, Mauritius, and in turn, payment to Ebix, Inc., which is proposed to be used towards reduction of Ebix, Inc. outstanding debt.  Approximately $130 million is proposed to be utilized for working capital requirements of EbixCash Limited and its subsidiaries. The remaining proceeds would be utilized towards inter-area growth-related initiatives of EbixCash Limited, including acquisitions and other investments.  With the DRHP filed, as per Indian rules governing the process, I cannot speak much about the EbixCash business until the IPO now, and thus, will need to point you to the DRHP for all data regarding its -- regarding EbixCash performance and any other questions you might have. Once the DRHP is approved, we will be filing the formal red herring prospectus. We will keep you updated about the IPO time line and are presently not in a position to comment about it in line with the IPO guidelines in India. With that, I will now pass the call to the operator to open it up for questions. Thank you.
Operator: [Operator Instructions] We have your first question from Jeff Van Rhee with Craig-Hallum. Your line is open.
Jeffrey Van Rhee: Yes. Can you guys hear me? I'm getting a lot of feedback there.
Robin Raina : Jeff, I can hear you loud and clear. Good morning. 
Jeffrey Van Rhee: Okay, good morning. So I'll start with the U.S. business. I mean, obviously, thank you for the transparency, a lot of sub details in there. And it sounds like a whole lot is going right. We can see that from the numbers, particularly as adjusted by constant currency. But talk about maybe expectations for '22 and '23. Once in a while, you've given us snapshots of what you think you can grow the overall business. Obviously, you've got a view into the pipe. So maybe just some color, however detailed you can be about the pipe and what kind of growth rates you think the U.S. can deliver '22 and '23.
Robin Raina: Ash, can you address this in generality with respect to the U.S. business, with respect to the future pipeline and what you see in the business?
Ash Sawhney: Certainly. Yes. The pipeline is strong. As I mentioned earlier, we have a number of carriers, distributors that we are actively engaged in. So the pipeline is strong. In terms of our ongoing growth in 2022, I think in our previous call, I had indicated that we would expect probably a high single-digit growth in 2022. And as things normalize from the COVID impact and some of the challenges that we are seeing in our underwriting exchange and a few other business units, that growth could be higher in 2023.  Now obviously, we can't control what we can't control some of the geopolitical impacts, the economy itself, we don't control. But generally speaking, higher interest rate environments are good for us. Our annuity sales tend to get positively impacted. So those are some of the factors, Jeff, that give us that confidence. Now I will say quarter-to-quarter, it's kind of hard to predict, but I'm looking at it from an annualized basis, 2022 and '23.
Jeffrey Van Rhee: Great. And I think you had referenced in the script that one of the things holding you back is some recruiting/personnel. Just expand on that a second.
Ash Sawhney: Yes. So Jeff, this is an industry-wide problem, right? It's not just Ebix. So we've had in India a big shuffle of resources. Since people were working remotely, they felt that they could work anywhere. And we saw a lot of people turning our companies, not just at Ebix, but industry-wide. We did hire a lot of people. But like Steve mentioned earlier, that requires folks to be cleaned and ready to be on projects. The second dynamic, which we are facing right now, is the positive side is we've opened all our offices. So people are actually back at work, which is a very positive impact because now you -- it's easier to train people. It's easier to manage projects. But it does require and there may be a short-term disruption because some people just don't want to come back to work. We're seeing that here in the U.S. We're seeing that back in India. So that attrition, I believe, may continue for a short duration. But ultimately, all the measures that we've taken, hiring of people, training, opening -- reopening of the offices, all that will have a positive impact.
Robin Raina: So Jeff, I think if I could add to what Ash said. I think Ash [indiscernible 0:38:04]. From my perspective, what I have seen in -- after COVID is -- the -- there is -- we are in a domain-specific industry. So as we continue to hire, it is not as simple for us to immediately replace the talent that we had, simply because we've got to teach them what we do, right, and because we are in a domain-specific industry. So there's a training time where we aptly put it. So that's one challenge we have. The second is this is worse than anything I have seen in India at least in the last 22 years. Big names are showing on a month-over-month basis, they're showing 32% attrition rates, which is bizarre. And it is primarily what has happened is COVID has changed the thinking process for some of these younger folks. They just feel -- sometimes they feel they can take two jobs now. They can work with two companies at the same time while they're sitting at home. And sometimes they just feel that they don't want to be back to work.  Now a lot of companies, including Ebix, are enforcing a rule, and a lot of the big MNCs are doing that in India, they're enforcing the rule then you got to come back to work, simply because if you allow people to work just from home, you're just losing the culture, the work culture, the ethic, the work ethic that you can build, the motivation that you can build in employees. And there is no substitute for it. And we are realizing that we really need to bring them back in the office, and a lot of those people don't like it. So it is -- it's a phenomenon that is happening in India, specifically in the technology world in a big manner. And besides that, the salaries have gone up dramatically. I'll give you a simple example that today, if you -- today, there are people who are getting 45% raises, and they still leave you. It's a bit hard market overall in India. And a lot of it has to do with the glut of start-ups that have started and the foreign money that have come into India where they're willing to pay a lot of money without any site of profits. And having said that, that's created a little bit of a nightmare situation. Good news is that for the most part, we have arrested that decline. If you look at our attrition rate -- I just went through the attrition rate numbers for us -- you probably have seen some of these. You Google -- you have some of the large players in India. And you will see that the rates have been 32% and 33%. The last we looked at, the last year, our attrition rate came out at around 14%, which means -- but the challenge we have is on a low -- overall basis, it looks like 14%. But when you look at it from a technology perspective, it's actually a lot more than 14%, and that's where our challenge is in technology. And in the technology area, one of the products where we need -- it's one of our most complicated products, one of our most advanced products in terms of technology is our underwriting exchange. We have been able to substitute people in most of our other products. So we don't -- we're not really running into challenges with respect to people. In most of the U.S.-based products, we've been able to handle it. It is mainly this one product, the underwriting exchange, the TPP, wherein the level of knowledge required to be working on that product is a lot higher than any other product. It's not the cookie cutter come in and just work on that product. So that's where some of our challenges have been, and we are working through it. And part of our cycle got deep -- that got disconnected was, during COVID, we were not able to hire freshers. So normally, what we do -- and this is something that is true for all vendors, all companies in India. When COVID happened, most of the schools and colleges were closed. So the recruitment cycle stopped in terms of hiring freshers.  That's a very important piece of the puzzle. Because if you're going to hire freshers, you're going to be -- those freshers will stay with you for a decent amount of time because they are more eager to work. They don't have those many job opportunities. They'll stay with you for x number of years for -- it's a given. And you teach them over a period of time, and you make them very absolutely functional in 6 to 8 months. And the maths of it works in a fantastic manner. That cycle broke. We were not -- there were no hiring of freshers for 2 years. So suddenly now, when we had -- there's output, input and an output. When there were people leaving, you also had earlier freshers coming in, and they would step in into that role on a cyclical basis. Continually, there was a refreshing of resources that refreshment broke because there was no freshers being hired. So we have -- with COVID going away, we have now -- we have gone back to the basics. We have gone back and started hiring freshers in a big way out of top technical institutes in the country. That by itself is going to show dramatically good results. And so I think that's part of what is happening in India. Sorry to give you this detailed answer, but this is a bigger issue country-wide today. It's not just an Ebix issue. It's become quite a large issue for India at present.
Jeffrey Van Rhee: Okay. A couple on EbixCash -- and understandably, if you can't go there, I'm sure you'll say so. But clearly, the whole world stopped with COVID and FX travel, all these businesses. You had to rightsize the cost structures to survive. But now that we're coming back out the other end of COVID and people are unlocking get back to life, what's your certainty that you've retained share? Do you believe you retained share, gained share, lost share? How are you coming out of this -- of the trauma of COVID at this point?
Robin Raina: So Jeff, I can't go into too much detail, but I will give you a very simple answer, a summary answer, which is that we believe we have grown our market share sizably in both the areas of travel and foreign exchange. There's a very simple reason for it. A lot of the smaller players just died by the site during COVID, and they were not able to sustain themselves. And in the meanwhile, we just kept signing new businesses, new corporates, new airports. We have done well. We feel very good about the pipeline we have, the business we have on both on the travel and ForEx side. I think the results of Q1 by itself tell you where we are headed. Also remember that many of the countries where we are leaders haven't really -- hadn't opened up in Q1. Indonesia and Philippines, we have been the number one travel player in these two countries. And they are two of our most profitable travel businesses. And having said that, those countries were basically at a stop. And I should actually count the third one, which is Singapore.  All three places were at absolute full stop. There was no tourism happening in these places. Those two countries have been -- have continued to open out beginning April, and it's been a gradual process. And as the travel opens up in these countries, the business is going to, our profitability will grow, our revenue will grow from the travel business in addition to whatever we have -- all the growth that we anyways feel we can get out of the Indian travel and ForEx businesses.
Jeffrey Van Rhee: Great, thanks for the transparency on those two domestic International. As you -- two other brief ones, if I could. As it relates to capital markets, Robin, obviously, U.S. markets, in chaos/freefall recently, particularly, some of the software small cap tech. But I know India is a different market. LIC got their deal done, it looks like. Can you just talk to the degree you're able to about what's going on in India capital markets right now? Obviously, you can't predict what exactly happens to you, but observe what's going on in the overall capital markets.
Robin Raina: Jeff, I'm not allowed to talk about it, so I'll just stop at that. I think you've already -- you can Google and see LIC had a great issue. It actually got a good -- pretty good foreign investment ultimately in the last few -- in the last day. And they had a great issue, meaning in terms of valuation, in terms of how it got listed. But having said that, I have specifically been told we can't talk about it under the Indian guideline. So I'm going to just completely stay away. But maybe I'll go back to your previous question and add something to -- there is -- because we have talked about it in the past, I can possibly talk about it. One of the areas that besides travel and ForEx where we -- in EbixCash we should see improvements is going to be the remittance area, right? As COVID is opening up, the remittance business will continue to improve. We have a lot revenue line that I expect to come in, in '22 and '23 into the business. When I say a lot -- the reason I say it a lot because it's an announced deal. If you remember, we had announced an exclusive agreement with MoneyGram in India. When we announced that agreement, as a part of that agreement, there were five distributors, large distributors who were -- who under the rules had to continue doing business with them, until their contact either elapsed or they came underneath Ebix – EbixCash.  Two of them are still left out, who have not come underneath us and contractually their contract gets over. One of them is actually Thomas Cook, whose contract gets over in September, and another one is a player called Supreme contract gets over next year in July. Under the rules, they're -- under the partnership agreement that MoneyGram publicly announced, all those businesses will come underneath us.  All the money that is flowing right now, which incidentally is 50% of MoneyGram's revenue in India right now, 50% of that revenue isn't coming through us right now. It's coming through these 2 players because it's a contractual agreement they had. That by automatically under the contractual terms will come to us, some of it in September of '22 and some of it in July of '23 or earlier if those parties decide to come underneath us, under the new rates that we will provide them, the new commission rate. So having said that, that gives us some more assurance of continued growth in remittance besides the few other area of products that we're working on in the remittance area. I thought I should probably add that to the mix of -- to what we talked through about the EbixCash businesses.
Jeffrey Van Rhee: Okay, great. I’ll leave it there. Thank you.
Operator: We have your next question from Chris Sakai with Singular Research.
Chris Sakai: Hi, good morning. Could you talk about the drivers on the decline for the prepaid gift card revenue?
Robin Raina: Well, really, if you look at the decline, it's not a large decline. It's a 7% decline. So there's no specific reason because it's not a large enough decline. And this is a cyclical business. It continues to be -- it depends on how many large corporates do business with you and so on. So I wouldn't read much into it. This business -- it will be -- there is no trend in that in any form or fashion. So yes.  We're actually pretty happy with the -- we had a very strong Q1 in '21. So we actually think we've done very well in this quarter. And we -- there's a -- we can continue to grow this business as we move forward. We don't see any limiting factors to the business in terms of any trends in terms of that drive our revenue down or -- but you're going to see slight changes here and there, right, in terms of -- it can happen. That's normal.
Steven Hamil: Robin, let me just add, though. Even though we had a 6.7% decline year-over-year, if you look at it sequentially, we grew those revenues by 17% in the first quarter versus Q4.
Robin Raina: It's a very good point, yes. Thank you, Steve.
Chris Sakai: Okay, thanks for that. As we head into the summer months, how are you seeing travel and foreign exchange? Are those going to be -- are you going to see continued growth there?
Robin Raina: Absolutely. We -- look, you can't predict the pandemic. But today, what we see in India, airports are jam packed, airports are full. There is almost revenge tourism happening in the country right now. People just want to travel. You try to book a flight domestically or international, and you're not going to find a flight. It's very difficult to find a flight. So businesses is coming back in a rolling manner, and we expect that trend to continue. One of the good things that is happening in the travel business is our events travel business is coming back in a big manner. And what I mean by events travel is -- in during COVID, one of the things that completely died out was conferences. So one of the big ways of doing travel businesses, we handle end-to-end events for, let's say, a bank, for a media or it could be anybody, right? And they will bring in 3,000 people into a conference.  We'll have a bank who will give us a $4 million deal -- just a hypothetical example to you. A bank will give us a $4 million deal and say, look, in one quarter, we need you to fly in 6,000 people into two cities and organize an end-to-end content for us, right? We -- and we take it as a project. That business is coming back in a big manner. We are absolutely right now -- absolutely packed in terms of the usage of our resources with respect to that business. So we feel very good about that. And from a ForEx perspective, again, as international travel is opening up, it is natural that you're going to see more money coming in through the airports, right? And we obviously are the dominant player in the airport business in the ForEx business in airports. When you look at 5-star, majority of the big 5-star hotels do business with us, all the [Indiscernible 0:53:13] institutes deal with us -- most of them and so on. So we feel very good about all of those. We are placed at all the right places. As people -- as travel opens up, ForEx will automatically open up, and we have launched a lot of new products in the ForEx area. So the trend, if you look at the present trend, I am very bullish about travel and ForEx in coming quarters -- for coming quarters.
Chris Sakai: Okay. Great. And last for me, how was the bus exchange business this quarter? I didn't hear much about that.
Robin Raina: Well, because we're not discussing too many details with respect to the exchange EbixCash business. But bus exchange business is as strong as it could be. We are actually headed into -- we announced, if you remember, in the first quarter, we actually announced 2 deals for the state of Andhra Pradesh and West Bengal. These are 2 large states -- 2 of the large states in India out of 28 states that India has -- we have basically picked up the -- deploying the bus exchange systems in all the buses in these places, and these are thousands of buses in each of these states.  Now remember that revenue is, in fact, today in these numbers that we announced because what's going to happen is it takes us some time to deploy these. And when we deploy it, once they get live, that's when we start picking up that revenue. So right now, none of that revenue is factored in of the new deals that we are announcing. We have a very strong pipeline in the bus exchange business. We are the dominant player in the market. We already announced DRHP also self-stop at that we already had 14 states. Subsequent to that, we announced 2 more states. So when you -- if you have 16 out of 28 states, that's a pretty dominant play already. So we feel very good about that business because that business leads to multiple opportunities. It's not just the ITMS system that we call it. It's not just the information technology management system for a bus like e-ticketing and so on, but it also leads to a car business, prepaid card business. It leads to our card business were wave a smart card and you start paying for your stuff. And it leads to many other products.  In coming days, I'll give you a real example of a product that can happen even in travel currently, we want to launch products like somebody wants to go into a bus and sales and has an EbixCash card, and he basically -- he or she basically says, I don't have the money. And I think if you travel to some place, I'll buy now and I'll pay later. And we will partner with banks who will basically provide that facility of instant credit to those people. And it'll all happen through our technology interface to the bus and so on. And then the next opportunity comes in as we interface these systems to train systems. So now a bus traveler stops at a bus depot. And then from -- and lands at a train station in a bus and now carries the same card into a train system. If you can integrate those 2 systems, you would have opened up a brand-new opportunity for us in the train area, by using the same card, by deploying standard systems in the train, now you can have the same traveler paying for their ticket for a train ticket on the same card that they bought a bus card. So that's interoperability. And then when you go into a cab, you still pay for whatever you're doing in your cab using the card. So that's what interoperability is. And those are some of the newer opportunities that we are pursuing right now.
Chris Sakai: Okay, great. Thanks for your answers.
Operator: I'm showing no further questions at this time. I would like to turn it back to Mr. Robin Raina for any closing remarks.
Robin Raina: Thank you, Alexander. Thank you. I think we basically -- with this, I'll close the call. I look forward to speaking to each one of you as we go into the Q2 investor call. Thanks, everyone. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.